Operator: Ladies and gentlemen, welcome to the Cognizant Technology Solutions Second Quarter 2011 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to David Nelson, Vice President, Investor Relations and Treasury at Cognizant. Please go ahead, sir.
David Nelson: Thank you, Wes, and good morning, everyone. By now, you should have received a copy of the earnings release for the company's second quarter 2011 results. If you have not, a copy is available on our website, cognizant.com. The speakers we have on today's call are Francisco D'Souza, President and Chief Executive Officer, and Gordon Coburn, Chief Financial and Operating Officer of Cognizant Technology Solutions. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. I would now like to turn the call over to Francisco D'Souza. Please go ahead, Frank.
Francisco D'Souza: Thank you, David, and good morning everyone. I'm pleased to report another strong quarter of industry-leading growth for Cognizant. Second quarter revenue was nearly $1.5 billion, representing 8% sequential growth and a 34% increase over the year-ago quarter. Growth was once again balanced across our target services, verticals and geographies. I'm particularly pleased with this growth when considered against the backdrop of increased uncertainty in the global economy, as evidenced by headlines about sovereign debt and persistent unemployment. As we've said since 2008, this economic turmoil goes beyond the typical recession. When combined with dynamic industry and technology changes, economic uncertainty puts enormous pressure on our clients and creates significant opportunity for us. As we've said for several quarters, in this environment, clients need a trusted partner that will work closely with them to reduce costs and also drive innovation opportunities that are enabled by the forces of the Future of Work. Our solid results this quarter coupled with the fact that we continue to see healthy demand and normal sales cycles are validation that our model provides the architecture for strong growth in any environment. This ability to [ph] focus on core industries, services and geographies and consistent reinvestment of excess operating margins have given us unparalleled domain knowledge, intimate relationships and a comprehensive services portfolio to help clients be more efficient as they invest in transforming their businesses. So while uncertainty has certainly increased in the macro environment, clients recognize that volatility as the new normal. They continue to act on this dual mandate, and as a result, we see a pipeline that is quite robust and absent the traditional summer lull. We also see this trend reflected in the fact that Q2 represented the sixth consecutive quarter in which our application and development revenues grew sequentially faster than application maintenance revenues. I'd like to spend the bulk of my time this morning talking to you about the color of demand that we are seeing in the market. I'll then comment briefly on our outlook for the remainder of the year before turning it over to Gordon, who, as always, will take you through the details of our Q2 results and 2011 outlook. Looking specifically at where demand is coming from, we see 3 horizons of growth opportunity. Horizon 1 is our core business, application development and application maintenance, which presents significant growth potential through deeper perpetuation of the offshore model and expansion into emerging geographies. Horizon 2 is the tranche of new services around areas like consulting, BPO and Infrastructure Services, or ITIS, which are helping clients redefine and focus on their core business. And horizon 3 is the class of emerging capabilities, such as mobile, cloud and social computing, that address changes brought on by the Future of Work. Together, these 3 horizons illustrate the complexion of market demand and highlight the benefits of our diversified business mix and our strategy of reinvestment. Success in the market today requires that we make the investments, build the capabilities and execute successfully across all 3 horizons simultaneously. I'll now address each of these horizons in more detail. Looking first at horizon 3, we see a marked increase in the number of engagements around the Future of Work as clients tackle the secular changes facing their businesses. The new distributed and virtualized business models, cloud and mobile technologies and a generation of born digital workers and consumers that comprise its future present enormous challenges in scale, scope and complexity. From a technology standpoint, these shifts tend to begin at the user interface. The client/server movement was driven by the PC and the Internet by the web browser. Today, the interface is mobile, and clients increasingly look to us to turn the explosion of smart mobile devices into meaningful business tools for their customers and employees. We've completed more than 50 mobile projects for clients already this year and have more than 50 additional ones in progress. For example, we recently expanded a leading restaurant chain's online ordering system to work with mobile devices. Having implemented the client's original system, our team had the environment-specific expertise, the knowledge of retail and hospitality best practices and the mobile development capabilities to deliver seamless end-user experience. Extending into the mobile world allows this client to accept customer orders anytime from anywhere while maintaining high delivery standards. We've also developed applications for nearly half a dozen different insurance companies that have enabled mobile workforces to stay better connected through workshops and sales events, access in-house CRM systems to manage contact activities and alerts remotely and generate immediate policy quotes from the field. Finally, Cognizant recently mobile-enabled a large medical device company's remote patient management system to connect cardiac patients with their clients. Previously, clinicians who received an SMS text notification on a critical patient needed to find a computer and access the website for details and subsequent action. The new mobile-enabled system allows for realtime patient-to-clinic contact that greatly improves clinical efficiency and reduces time to care. In addition to our traction in mobile technology work, we continue to expand our work in cloud and social technologies. For example, we recently put a global insurer on track to save millions of dollars in operating costs by moving thousands of servers from traditional data centers to a private virtual cloud. We're also deploying a cloud-based architecture for a large retail organization that replaces the client's existing distributed architecture to enable the scalable delivery of mobile, social, media and web-enabled services to meet customer expectations and optimize time to market. Clients are looking to generate true business value through mobility, cloud, social computing and next-generation analytics. But technologies do not create value in a vacuum. Clients need the industry and domain expertise that Cognizant has invested in for years. Most importantly, clients need these technologies customized, fused to their existing business processes and integrated with their legacy systems. Our Client Partner infrastructure provides the ability to do this at scale and will allow us to drive revenue from new technologies faster and more effectively, thereby capturing an outside share of the market. Shifting now to horizon 2, we continue to see clients respond to both cyclical and secular pressures by reexamining which activities should remain core to their businesses and which can be done from somewhere or by someone else. As a result, we see clients outsourcing new tranches of BPO and ITIS processes previously performed internally. Demand for ITIS continues to accelerate. Since last year, we've seen a marked increase in pipeline activity, including a doubling of the number of opportunities valued at $10 million or more. While this ITIS growth is global, we see tremendous traction in Cognizant Europe and Asia Pacific. Notably this quarter, we launched one of the largest deals in practice history with a large European investment bank. We also signed an end-to-end ITIS outsourcing deal with a large retailer, which spanned infrastructure in more than 1,000 facilities across more than 75 different cities. Within BPO, we also see a multifold increase in our pipeline and wins, driven by strong interest in our vertical process focus and our ability to drive strong synergies through combined technology and process optimization. We now help leading telecommunications companies better serve their customers by creating an automated business service to manage prospect communications. Our solution improves the end user experience and streamline sales to drive top and bottom line growth. This showcases deep understanding of the industry and customer processes as well as technology enablement. In another example, we are helping a large healthcare payer firm run multiple business-critical processes, including membership enrollment and processing benefit configuration and back-office accounts receivable. This win was based on Cognizant's health insurance experience, technology capabilities and high degree of trust with the client. Horizon 2 will remain an area of growth in which we will continue to invest. Last week, we announced the acquisition of the India-based captive operations of CoreLogic, Inc. to enhance our offering in the residential mortgage processing space. Tuck-under acquisitions like this support our BPO strategy on focusing on vertically-focused business processes for our clients. CoreLogic's incredible pool of talent will provide us with the foundation to provide end-to-end business processes and analytics solutions across the entire mortgage value chain. Acquisitions such as this form the basis of the business processes and service solutions that will comprise the next generation of distributed models. Emerging capabilities and the tranche of new BPO and ITIS work are important areas of growth, but they don't diminish the incredible opportunity to capture an outside share of the growing application development and maintenance, or ADM, market that remained our core horizon 1 business. Three observations about this growth: First, the ADM market remained under-penetrated in geographies such as Continental Europe, offshore models still constitute less than 10% of the corporate application infrastructure. Clients are moving quickly to offshore models and are looking to market leaders for help managing this transition. Second, new ADM opportunities are often pull-through support for the Future of Work capabilities I previously discussed. Cognizant's strong domain-based relationships earn us a seat at our client's table on next-generation projects, giving us a unique inside track to this ongoing work. And third, the ADM opportunities of today are different from those in the past. Labor arbitrage, once a lion's share of outsourcing benefit, is now table stakes. Clients today look for partners who drive shared business value through thought-leading innovation into intellectual property assets and continual delivery improvement. Again, our investments position us well for success in these situations. Let me now spend a minute on our outlook for 2011. Given our strong year-to-date performance and the significant growth opportunities we see across our business, we are guiding to at least $1.57 billion of revenue in the third quarter and have raised our outlook for the full year to at least $6.06 billion. Our recent performance gives us the confidence that our model is resilient and that our value proposition for clients remains robust. Let me now turn the call over to Gordon, after which I'll make a few closing remarks. Gordon?
Gordon Coburn: Thank you, Francisco, and good morning to everyone. During the second quarter, we experienced continued growth in our Financial Services segment, which includes our practices in Insurance, Banking and Transaction Processing. This segment grew 7.5% on a sequential basis and 30% year-over-year. It represented 41% of revenue. The demand within Financial Services was broad-based across our clients and across geographies. We saw a focus on initiatives to drive costs and operational effectiveness, assessment and implementation of next-generation technologies, such as mobile computing and social or cloud-based CRM platforms, and high-end BPO services, including fund administration, mortgage operations and insurance underwriting and claims processing. Healthcare continued its growth during the quarter, with 10.7% sequential growth and 37% year-over-year. This segment represented 26% of revenue. The significant growth within this segment was driven by growing demand for analytics, such as the conversion of data and information for the marketing and R&D areas of the pharmaceutical industry; increased traction of our business process as a service offering for pharmaceutical clients, such as sales force incentive compensation and alignment; and continuing ICD-10 consulting and remediation work. Manufacturing, Retail and Logistics continued to build on the momentum created in Q1 and grew 7.3% sequentially and 45% year-over-year. It represented 20% of revenue for the quarter. Demand within this segment was driven by ongoing ramp-up of strategic Manufacturing clients as we expand relationships to Infrastructure Services, Analytics and consulting, increased demand from our Retail clients to drive both costs and operational efficiencies while also focusing on critical Business Transformation projects related to multichannel e-commerce integration and growing strength of our consulting practice, which focuses on critical business areas such as global distribution and logistics. The remaining 13% of revenue came primarily from other service-oriented industries of communications, entertainment, media and high technology, which as a group grew 7.7% sequentially and 29% year-over-year. Application development represented 51% of revenue, and application management, 49%. Application development grew 44% year-over-year and 10.6% sequentially. Application management grew 25% year-over-year and 6% sequentially. During the quarter, 77.8% of revenue came from clients in North America. North America grew 8% sequentially and 33% year-over-year. Europe was 18.6% of revenue, and 3.6% of revenue came from our clients in Asia Pacific, Middle East and Latin America. For the quarter, Europe grew 8.2% sequentially and 38% year-over-year. Europe played out exactly as we expected, with both the United Kingdom and Continental Europe reporting solid sequential growth, around 8% each. European revenue was positively impacted by currency movements of approximately $7.3 million compared to the first quarter. On a constant dollar basis, Europe grew 5.3% sequentially and 26.8% year-over-year. We continued to see positive pricing momentum during the second quarter, a trend that began in Q4 of last year. Pricing on a sequential basis was up slightly, as we continued to benefit from the remaining pricing increases agreed to with our clients during the latter part of 2010. We had a gross addition of 76 new clients and closed the quarter with 721 active customers. During the quarter, we continued our program of eliminating very small clients that we accumulated over the years through acquisitions or organically. During the quarter, the number of accounts which we consider to be strategic increased by 6. This brings our total number of strategic clients to 179. We continue to see a trend towards our newer strategic clients embracing a wider range of Cognizant services at a earlier stage in the relationship. Turning to costs. On a GAAP basis, cost of revenues, exclusive of depreciation and amortization, was approximately $861 million for the quarter and included approximately $3.7 million of stock-based compensation expense. The increase in cost of revenues is primarily due to additional technical staff, both on-site and offshore, required to support our revenue growth. We increased our technical staff by over 6,300 during the quarter and ended the quarter with over 111,000 technical staff. Second quarter SG&A, including depreciation and amortization expenses, was $354 million on a GAAP basis and included approximately $20 million of stock-based compensation expense. Our GAAP operating margin was 18.2% for the quarter, and our non-GAAP operating margin, which excludes stock-based compensation expense, was 19.8%. As expected, our operating margin came back to within our target range of 19% to 20% during the second quarter as we absorbed most of the impact of 2011 wage inflation. The average rate for the rupee was 44.7 in the second quarter versus 45.2 in the first quarter and 45.5 in Q2 of last year. $195 million of rupee-denominated operating expense cash flow hedges were settled during Q2. This resulted in a $14.5 million gain, which was recognized in operating expenses. We have further extended our India rupee expenses hedging program with $2.8 billion in outstanding hedges of our rupee expenses, which will mature each month through 2014. We had $9.5 million of interest income. In addition, we had a net loss of $1.8 million of other nonoperating expenses. This included a net foreign exchange loss of $2.4 million. This was primarily due to losses on certain balance sheet hedges which were offset against gains related to the remeasurement of certain balance sheet accounts. Our tax rate for the second quarter was 25.1%. Our diluted share count for the second quarter was 311.5 million shares, down slightly from Q1. During the second quarter, we repurchased 1.3 million shares at an average price of $73.93 for a total cost of $96.1 million. As previously announced, we increased the current share repurchase program to $300 million during Q2. Within this program, we have purchased a total of just over 2.9 million shares at a cost of $215 million. Turning to the balance sheet. Our balance sheet remains very healthy. We finished the quarter with about $2.3 billion of cash and short-term investments. During the second quarter, operating activities generated over $215 million of cash. Financing activities used approximately $81 million of cash. This was comprised of expenditure of $96 million towards our share repurchase program, partially offset by proceeds of $23 million related to option exercises and related tax benefits as well as our employee stock purchase program. We spent approximately $34 million in capital expenditures during the quarter. As previously announced, in 2011, we expected to spend approximately $285 million on capital expenditures, the majority of which will support our current wave of facility expansion. Based on our approximately $1.2 billion receivables balance on June 30, we finished the quarter with a DSO including unbilled receivables of 75 days, up from 74 days in the first quarter and down from 77 days in the second quarter of 2010. The unbilled portion of our receivables balance was approximately $152 million. Approximately 61% of the Q2 unbilled balance was billed in July. During the quarter, 31.9% of revenue came from fixed-price contracts. Net headcount increased by over 7,100 people during the second quarter. Gross additions were equally split between direct college hires and lateral hires of experienced IT professionals. We ended the quarter with over 118,300 employees globally. Attrition remains stable in Q2 as compared to Q1. As we have discussed in the past, there's no consistent methodology in the industry to report attrition. We have historically reported attrition by annualizing the turnover which occurred within the quarter, including both voluntary and involuntary. Our attrition in Q2 was 15.2%. It is also important to note that our attrition statistics include all departures, including BPO and employees in our training program. As intended, utilization increased slightly during Q2. Offshore utilization was 70% during the quarter, offshore utilization excluding recent college graduates who were in our training program was approximately 80%. On-site utilization increased to over 90% during the quarter. We successfully balance our hiring between lateral professionals and recent college graduates. As a result, we had over 12,000 unbilled people in our training program at the end of the quarter. This helps to position us well to meet growth demands in the back half of 2011 and into next year. We remain focused on ensuring that our people, processes and infrastructure are prepared to support the continuing growth opportunities we see in the market. Our business continued to scale well, and we are successfully managing the increasing complexities that we face. Our top priority is to remain the employer of choice in our industry, and we believe we are achieving this goal, as evidenced by our strong headcount growth and low attrition figures relative to the industry. We continue to experience great success in hiring the best and brightest while expanding our potential pool of recruits across geographies. Our campus hiring in India continues to strengthen. We are particularly pleased that we achieved a balanced mix of direct college recruits and experienced lateral hires. This positions us well for achieving an optimized pyramid over the coming quarters. In Europe, we launched campus recruiting programs in both the U.K. and Continental Europe to further augment our recruiting pipelines of local hires. In the U.S., we continue to onboard our first class of campus recruits from American universities and have decided to further expand this successful program for the coming recruiting season. In addition, we just completed our spring promotion cycle, during which we promoted a record number of associates. Our industry-leading revenue growth enables us to deliver industry-leading career growth for our employees and has positioned us once again as an employer of choice, as evidenced by our favorable attrition. We continue to strengthen our geographic delivery footprint, driven in part by a continued success with Infrastructure Services and BPO. We are witnessing strong demand for BPO and ITIS services from our delivery location in the Philippines. As a result, we are opening an additional center in the Philippines to meet this demand. We are further expanding our development center in Budapest to service-oriented structure management clients in Europe. And finally, we are adding an additional location in Argentina to meet the growing demand from our clients in both North and South America seeking to leverage this talent pool. And finally, last month, we published our first sustainability report, which highlighted many accomplishments that underscore our commitment to protecting our environment, giving back to society and promoting responsibility at work. Our sustainability efforts are producing tangible results. For example, we've already exceeded our targets of reducing per capita CO2 emissions by 25%, resulting in a 2-year savings of almost $11 million, and we have leaped forward 311 places in Newsweek's Green Ranking. I'd now like to comment on our growth expectations for Q3 and full year 2011. As we look at the remainder of the year, we do so with an awareness of the renewed economic uncertainty around the globe. We believe that our business is well-positioned for continued industry-leading growth that is supported by a healthy pipeline and stable sales cycle. For the third quarter of 2011, we are projecting revenue of at least $1.57 billion. For the full year 2011, we continue to expect industry-leading revenue growth. Based on current conditions and client indications, we are raising guidance from revenue to at least $6.06 billion. This represents full year growth of at least 32%. For the coming quarter and full year, we expect to operate within our target operating margin range of 19% to 20%, excluding impacts of equity-based compensation expense. Therefore, we are currently comfortable with our ability to deliver in Q3 GAAP EPS of $0.70 and non-GAAP EPS of $0.76, which excludes estimated stock-based compensation expense of $0.06. This guidance anticipates a Q3 share count of approximately 312 million shares and a tax rate of approximately 25.4%. This guidance excludes any nonoperating FX gains or losses. For the full year 2011, based on current business trends, we expect our GAAP EPS to be at least $2.78, and we expect our full year non-GAAP EPS to be at least $2.98, excluding $0.20 of stock-based compensation expense. This guidance anticipates a full year share count of approximately 312 million shares and a tax rate of 25.4%. It also excludes any future nonoperating FX gains or losses. Our guidance includes the impact of our recently announced intention to purchase India-based captive operations of CoreLogic, which is expected to close at the end of this month. Our revised guidance assumes that this acquisition results in $5 million of revenue for Q3 and $21 million for the full year. We'd now like to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Rod Bourgeois of Bernstein.
Rod Bourgeois - Sanford C. Bernstein & Co., Inc.: Gordon, can you talk in your guidance about what assumptions you're making in the second half of the year for macroeconomic issues? And then you're seeing bank layoffs and other things, and so to what extent has that been factored into your guidance? And do you include some buffer in case you get some negative surprises on the macro front in your client base?
Gordon Coburn: Sure. The guidance includes everything we know today, which includes it is a bumpy economy. Financial Services clients are doing some layoffs, so we have factored that all in. Obviously, we have not factored in if the economy falls off the cliff. The big driver of our revenue is discretion development spend. So by definition, we always do bake in some conservatism for things going wrong there. But we're certainly aware of the macro economy is a bit bumpy right now, and that is factored in.
Rod Bourgeois - Sanford C. Bernstein & Co., Inc.: Great. And then your guidance for the September quarter, your sequential growth guidance is actually equal to the sequential growth guidance you gave in the June quarter, even though the June quarter is normally seasonally quite a bit stronger. Are you seeing some something in the September quarter that's creating abnormal strength? Maybe -- I know that there were deals ramping in Europe during Q2. Is that continuing in Q3? Or is there something else that's causing the September quarter to potentially be seasonally stronger than it normally is relative to the June quarter?
Gordon Coburn: Yes, I think you characterized it right. Yes. Historically the June quarter tends to be the strongest, as I think that is likely the case for this year as well. But the spread between June and September is not particularly significant. I think part of what's driving that and one of the things we're very pleased about is we are not seeing the normal summer lull this year. So we are seeing clients continue to make decisions, continue to start new projects, where normally in the summer, things kind of slow down a little bit. So I think that's what's driving the guidance for Q3. But once -- I want to make sure people stay realistic that Q3 does tend to be -- I'm sorry, Q2 does tend to be our strongest quarter.
Rod Bourgeois - Sanford C. Bernstein & Co., Inc.: All right. And then, Gordon, just on that comment about not seeing the normal summer lull. Do you think that's the case for the entire market, the offshore market? Or is that a Cognizant-specific event, where you're just seeing maybe more strength than what's happening in the market. And in your client base, you're seeing momentum, whereas other players in the market around you might be seeing a little more of a slowdown in decision-making on discretionary deals. How would you respond to that?
Gordon Coburn: Our sense is it's directly related to the performance we're seeing in discretionary development spend. Frank talked about the 3 horizons earlier, and we're seeing demand across all of them. But it's being driven by clients looking for a partner who has deep domain expertise. So I think there is some share gain going on here. As clients are -- want to invest in innovation, want to invest in revenue growth, and they need a partner who's making those investments alongside with them.
Operator: Your next question comes from Tien-Tsin Huang of JPMorgan.
Tien-Tsin Huang - JP Morgan Chase & Co: I guess I want to just follow through with what Rod just asked. Just obviously, you guys are still putting up the premium growth, which is great. But the competitive landscape seems like it's changing. We're seeing some mixed results from some of your peers. So you'd suggested a share shift under way, but how deep do you think that is, and how sustainable do you think that is? I'm just trying to separate the macro secular demand versus -- from the share shift that you touched upon there, Gordon.
Francisco D'Souza: This is Frank. Let me try and characterize this. I think that the -- at the aggregate level, I still see very healthy demand in the marketplace. I think that as I go back to the 3-horizon model that we talked about, in the core of our business, what I refer to as horizon 1, there's still a lot of opportunity to capture market there. And then you've got these horizon 2 businesses that are the new businesses we've invested in over the last 3, 4 or 5 years, BPO, IT Infrastructure Services and so on, that are really hitting that point of inflection and growing. I think what's really important, though, is that clients are looking for a partner that can help them across all 3 horizons. The very new stuff, the social, the mobile and [indiscernible] leadership and the technology prowess around these very, very new technologies, but it can also work with them all the way through to the horizon -- the change management, the consulting and all of the things that are needed to be successful in horizon 1. And I think that, that's not trivial to build a portfolio of capabilities and make the investments to be successful with your clients across all 3 horizons simultaneously. And I think that's where the benefit of our strategy of reinvesting excess operating margin over the years is really playing out now, because we've been making these investments over a long time. We've got the domain expertise. We've built the consulting capability. We've got the new technology capabilities, and so we can help our clients across all 3 horizons simultaneously and, essentially, become a single partner that they can turn to, regardless of what horizon they are thinking about at any point in time.
Tien-Tsin Huang - JP Morgan Chase & Co: Yes, that makes sense, Frank. Just as a follow-on to that, I guess in the second half of the year, should we expect anything different in terms of margins? It seems like the implied guidance calls for something a little bit lower than what we've seen. Am I calculating that right?
Gordon Coburn: You may want to double-check your calculations of that. For Q3 and Q4, I would expect us to be within our 19% to 20% range and in the upper half of that range, but clearly lower than Q1, which was an anomaly.
Operator: Your next question comes from Chris Hickey of from Atlantic Equities.
Christopher Hickey - Atlantic Equities LLP: I was hoping you could expand on the improvements you saw in Europe, please. Was that a reacceleration concentrated at a handful of larger clients or more broad-based following the softness in Q1?
Gordon Coburn: It was fairly broad-based. We had success in backfilling our M&A work, so we did not have a -- as the M&A work ramped down, at the accounts where it was impacted, we actually had other work that ramped up and offset it. So we didn't have the anchor of M&A work. So I think that was probably the biggest difference from Q1. But it was broad-based across geographies. Europe, roughly on a reported basis, grew in line with the company, on a constant dollar basis, grew a bit less than the company, which is exactly what we expected, and it looks like it will be roughly in line with the company going forward, so it's stable for us.
Operator: Your next question comes from Julio Quinteros of Goldman Sachs.
Julio Quinteros - Goldman Sachs Group Inc.: Real quickly, maybe Francisco or Gordon, can you just walk us through some specific sort of example or case study on what is it the clients come to you guys with when they're going through these headcount reductions? It feels like from the headline perspective, that's what -- a lot of the questions coming from, given the exposure that you guys have in the financial verticals. Maybe just an example or some way to think about what clients are telling you guys specifically as they go through their own sort of headcount reduction in the financial vertical?
Francisco D'Souza: I think, Julio, I think I'll talk a little bit about it. I think it has the -- what we're seeing is that after 3 years now of economic volatility, I think the key that clients are trying to achieve now is variability in their cost structures, right? So they're saying, "The economic volatility, in some sense, is the new normal. We've got to run our businesses despite that, and so how do we variable-ize cost structures in a way that allow us to respond to ups and downs in our demand?" And so the core of what we're seeing in that part of the business is a shift towards variable pricing models, more managed services, more interest in managed services, more what we've traditionally talked about as output-based pricing where we charge the client based more on their consumption and some demand driver or some metric that's relevant to their business so that we're able to scale up and down with their demand. And so I think it's less to do with their layoffs and more to do with their variable-izing of their cost structure.
Julio Quinteros - Goldman Sachs Group Inc.: Got it, that's great. And just switching over real quickly to the strategic accounts. Looking at the penetration, if you kind of look at your entire book of business, the revenue-per-client metric that we're sort of looking at here, compare that to relative to new client additions, so if you had to sort of put a dollar to work right now relative to adding a new client versus just increasing the penetration for the client, where is the priority right now in terms of going after new revenue growth, if you will?
Gordon Coburn: It depends on your time frame, Julio. Short term, clearly the bang for the buck is with the existing client base, because that can ramp up much faster. As you know, when we win a new client, you get fairly little revenue for the first 3 months, it's only after about month 6 you hit the inflection point. But it's -- obviously, it's very important we keep winning new clients, because it will feed revenue growth in the coming years. But I think the big part of the story in our mind is the expansion of the market opportunity within each client. So as clients are now looking to us for BPO, for infrastructure management, to keep going in all the horizon things, horizon 3 things Frank mentioned, the slice of the IT and operations budget that we're eligible for at a client base continues to expand. So we're growing not just by winning new clients, not just by taking more opportunity of our existing market opportunity, existing clients, but we're also expanding the market opportunity at our existing clients. We have to invest in all 3 simultaneously.
Operator: Your next question comes from Edward Caso of Wells Fargo.
Edward Caso - Wells Fargo Securities, LLC: Could you talk about any, if there's any change in strategy, as far as the willingness to sort of take a little bit more of an asset approach to the sort of the cloud and mobile opportunity?
Francisco D'Souza: If you're referring to sort of assets in the sense of intellectual property and building-out of software and other IP, I think that, that's a critical part of all of what I term the horizon 3 businesses. Horizon 3 businesses are characterized by the need for a very rapid deployment, quick time to market, and so we are clearly looking at opportunities, both organically and potentially inorganically, to build or acquire critical pieces of intellectual property that are going to help us -- or IP or thought leadership which are going to help us get solutions to market for clients more quickly. That's also part of the ongoing program that we have to build out nonlinear revenue streams, where the revenue growth is less correlated with headcount going forward.
Edward Caso - Wells Fargo Securities, LLC: Gordon, any implications, therefore, for operating margin, whether this is going to take away from, maybe, sales dollars?
Gordon Coburn: No. I don't think so. The IP-based stuff in there should be higher margin. If we do some physical-asset-intensive, yes, the margin will probably be a little bit lower on that, but it's not going to be big enough that's going to move the needle. And so there's nothing that I see on the horizon that changes my belief we'll stay in the 19% to 20% in the medium term.
Operator: Your next question comes from Darrin Peller of Barclays Capital.
Darrin Peller - Barclays Capital: First on the pricing, have there been any new price increases now? Now we know there's been some already expected to go into effect this quarter from agreements in first quarter. Has the view on pricing being up a few percentage points in '10 changed at all -- in '11, rather, changed at all?
Gordon Coburn: The pricing power that we're getting now is all related to price increases we discussed and negotiated last year. So most of it kicked in, in Q1, a little bit more of it kicked in, in Q2 and then that's kind of done now. We're only now beginning the discussions with the clients about price increases for 2012, so those conversations are just starting. From conversation to impact, yes, there's a 6- to 9-month lag.
Darrin Peller - Barclays Capital: And the macro environment, certainty around that, do you think it's going to have an impact?
Gordon Coburn: In terms of?
Darrin Peller - Barclays Capital: Just pricing.
Gordon Coburn: I don't think it will have a direct impact. In the end, the value proposition that we offer, both in terms of capability and efficiency, is already pretty strong. So I don't think the clients are doing this to save an extra 1% or 2%. They're doing it for very strategic reasons and both to tap our global resource pool and to save significantly more than that.
Darrin Peller - Barclays Capital: That's great. Gordon, why the spike-up in G&A options expense? I think normally, your level would have much more of the GAAP EPS upside versus this quarter. Can you just give us a sense of what occurred there? And maybe we should be thinking about it more from a non-GAAP EPS standpoint?
Gordon Coburn: Yes. So on a percentage basis, the spread -- the dollar spread between GAAP and non-GAAP is remaining fairly constant. Obviously, as the business grows, the amount of equity expense will grow up, will continue to grow. So we kind of try to keep the percentage in line. A lot of that is driven by RSUs and PSUs that we gave out in the last year or so. So it's -- I kind of view it as I'm on track. It's a little bit ahead of the dollars that I planned for this year, but that's because we're ahead of -- we're obviously ahead of revenue plans for this year. On a percentage basis, it's remained very constant.
Darrin Peller - Barclays Capital: Understood. And just last question for me, if you don't mind, on the regulatory front, obviously there's been still a lot of strength there. Dodd-Frank rule starting to go into effect now, a year after the legislation. Are we seeing the actual IT projects really kicking in from that front now?
Francisco D'Souza: This is Frank. I think it will be still some quarters before we see the actual IT projects kick in as a result of Dodd-Frank. What we are seeing is a -- I would characterize it as a slower pickup of consulting work around helping clients assess what the implications are on their IT systems. That's really the first step. As we're starting to get some clarity, our clients are bringing our consulting teams in to say, "Let's do the assessments. Let's understand what the implications are. How do we need to change systems?" And my expectation is that, that will then translate into some downstream work, real IT work, probably back half of next year would be my expectation.
Operator: Your next question comes from Moshe Katri of Cowen.
Moshe Katri - Cowen and Company, LLC: You had the strongest new client additions in about 3 quarters. Can we get some more color on where these additions came from? Maybe talk about the various verticals. And then can you comment also on these -- the addition of the, I think, 6 strategic clients as well? And maybe talk also about the verticals?
Gordon Coburn: Sure. Be a little bit careful on focusing too much on total new customers, because some of those are big, some are small. The part that we're very pleased about, the second part of your question, we continue to grow the number of strategic accounts that we have, and that's critically important to us. And so just remember those are clients that either are already above $5 million or to $50 million-plus annual revenue or more recent wins of clients who have the clear intention to get there. And that's really driven by the stuff we talked about earlier. As we expand our range of services and the addressable market gets bigger at our client base, the number of clients that can become strategic continues to expand. And we're having a lot of success there. Obviously, where we differentiate ourselves is not necessarily in the number of new clients we win, but once we win those clients, the penetration rates that we achieved are, we believe, are industry-leading. When we look at our strategic customer adds for the quarter, it's fairly well diversified, both geographically as well as by industry, including Financial Services, Healthcare and Manufacturing would have been the 3 primary areas.
Moshe Katri - Cowen and Company, LLC: And then, Gordon, just remind us, CoreLogic in terms of revenue contributions embedded in your guidance and then the EPS impact?
Gordon Coburn: Sure. So It's $5 million for Q3, $21 million for the full year. So therefore, there's $5 million for Q3 and $16 million for Q4. Essentially, there is the EPS impact is a rounding error, just not that much revenue.
Operator: Your next question comes from Nabil Elsheshai of Pacific Crest Securities.
Nabil Elsheshai - Pacific Crest Securities, Inc.: I guess if I could go back real quick to the wave 2 drivers, when you look at those offerings, is there any sort of metric you can give us on how much adoption you've seen, say, within your top strategic accounts? How many of them have adopted nontraditional service offerings? And how covered are you in, I guess, your top 4 verticals in terms of the offerings that you have? Or do you see aggressive opportunities to add outsourcing type of services going forward?
Francisco D'Souza: Yes, I think, let me focus on the -- it's Frank, the 3 main horizon 2 offerings, which I think of as Business Process, Outsourcing, IT Infrastructure Services and Consulting. Each one is slightly different. Our Consulting business, let me start there. We've made tremendous progress in the Consulting business, and we built out today our team of -- our CBC team is about 2,700 consultants worldwide. And that really covers all of the industries we serve, pretty much all the major geographies that we serve. We have the capability to deploy consulting into those areas. So I would say Consulting is well-built-out, well-rounded across the company and across all of our industries and our service lines. And I would say that we probably are engaged in some form of consulting with about a third or maybe 40%, somewhere in that range, of all of our customers of the entire customer base. When I look at IT Infrastructure Services, the second horizon 2 service offering, by and large, our IT Infrastructure Services business isn't one that needs to be customized for each of the industries that we serve. It's a relatively horizontal service offerings. There are some exceptions where there are some specific regulatory concerns and data privacy concerns, but in general, the IT Infrastructure business tends to be a relatively horizontal business. And so today, as clients have started to really scale remote infrastructure management and related services, we feel like we've got good scale, that the deals that we're winning and the deals that we're already servicing are approaching very, very large scales, and we feel confident that we have the capability now to both win and to execute on the largest IT Infrastructure Services deals out there. And BPO is the one that we've been focused as a company specifically on the industry vertical business process outsourcing. And so we'd have to build that business industry by industry, process area by process area. And I think today, particularly with the acquisition of CoreLogic, we have a very good and perhaps one of the broadest set of industry-focused business processes across the industries that we serve. So whether you look at our Healthcare business, you look at our Financial Services business with the acquisition of CoreLogic and of UBS, in the India captive center of UBS some quarters ago, or you look at the Retail Manufacturing Logistics or telecommunications, today I feel like we have a very well-rounded robust portfolio BPO services across the industries that we serve, and we're seeing the traction there. And so between ITIS and BPO, again, I would say we're probably serving about 1/3 of our client base, and so we still have quite a considerable amount of room to grow that just by expanding into the remaining 2/3 of our client base.
Operator: Your next question comes from James Friedman of SIG.
James Friedman - Susquehanna Financial Group, LLLP: It seemed like last quarter, you spent a lot of time talking about the U.K. If you mentioned it this quarter, I apologize, but what was the growth in the U.K.? And have the problems there been resolved at this point?
Gordon Coburn: U.K. was very solid. On a reported basis, it grew 8% sequentially. We were -- as some of our M&A work in the U.K. ramped down, we were quite successful in backfilling at the same clients with non-M&A work. So as I said, Continental Europe played out exactly as we expected. U.K. was a little bit stronger than we expected. We expect Europe in general to roughly be in line with the company going forward. So it's -- things going well there.
Operator: Your next question comes from George Price of BB&T Capital Markets.
George Price - BB&T Capital Markets: I wanted to just ask a few things around visas and kind of client sentiment there. First of all, has Cognizant been readmitted back to that fast-track program in India for U.S. work visas? Either way, is there any impact on ability or cost to get visas and the employees you need to the U.S. and other people to the U.S.?
Gordon Coburn: We're feeling very good about our ability to get visas. We're not seeing any operational disruptions, we're getting the visas that we need to operate our business. Obviously, we're continuing to do more local hiring, particularly trying to launch college programs and so forth. We haven't spoken specifically about the program, but obviously, there's a bunch of press stuff on that and excellent-minded [ph] people. That is simply a fast-track program. That's not a program that decides whether you get visas. It's a program, more focus is on the speed of which and the ease of which you can get them. But we continue to get all the visas we need, and we’ve had no operational disruptions.
George Price - BB&T Capital Markets: Okay. And then I guess just from a client sentiment perspective, 2 things. One, does the current either demand environment or political environment with unemployment, et cetera, the way it is, is that having any bearing on client sentiment around how your work is done on a global basis, and including use of workers on visas? And then kind of a related question there, are clients indicating, I guess, more willingness to kind of pay a higher cost for doing work for having a higher on-site presence with more demand and expertise than possibly in the past?
Francisco D'Souza: Let me try take a crack at that. Yes, at this point, we don't see clients -- clients are very clear-minded about the need to invest in both efficiency and innovation and transformation. And I think in general, clients understand that in order to be able to do those 2 things simultaneously, you have to leverage a global delivery model to make it successful. So we're not seeing clients slowing down. The other part of the equation, of course, is that in many -- in the U.S., but also in many of other countries around the world where we operate, there is a shortage of talent in the local markets. And so what we're trying to do is do our part to both recruit in the local markets around the world for experienced talent and also, now, increasingly at the campus and bring -- do our part to build the local science and technology workforce within the countries in the U.S. and other countries around the world where we operate and build all of that into the mix where we serve a client. In terms of the question you asked about clients willing to pay a higher price for more on-site-centric services. We're not seeing a shift to more on-site-centric services or services that were historically delivered using a global or an offshore model. What we are seeing is that as we deepen penetration, there are aspects of a mix of services that you might provide to a client that need to get performed on-site for regulatory reasons, for other legal reasons or just because of the inherent nature of the work that requires it to be done closer to the customer location. And we're pricing those appropriately, but I don't view that as a shift that's driven by concerns about unemployment or visas. I view that as a shift that's a natural shift as our business mix shifts towards different kinds of work.
Operator: Your next question comes from Joseph Foresi of Janney Montgomery Scott.
Joseph Foresi - Janney Montgomery Scott LLC: My first question here is just on the competitive landscape, I want to go back to that for a second. Are you seeing the same players on deals? And I wonder if you could talk a little bit about the reasons for picking up a partner. Have those changed at all? Have you seen any changes in that in over the last 6 to 9 months?
Francisco D'Souza: I don't think we've seen a shift in the, broadly, in the players we're seeing. We're probably seeing the multinationals show up more frequently than, perhaps, some of the traditional India players over the last 6 months, but the names have remained the same. Maybe just a few we're seeing the multinationals a little bit more than we did in the past in terms of number of times we compete with them. I think that if you're asking about the reasons to pick a partner, I'll go back to the 3-horizon model that I talked about in my comments, right. I think clients are looking to find partners that can help them execute across all 3 horizons. The skills and capabilities that you need to work with the client on horizon 1 are different than horizon 2 and horizon 3. And with horizon 3, you're very much focused on business change, you're focused on consulting, you're focused on really bleeding-edge technologies like mobile and social that are still evolving. In horizon 1, the core business, you're focused not just on the arbitrage, but on driving process improvement. You're focused on really driving efficiency and effectiveness using a bunch of different levers. And so what clients are looking for is a partner that can articulate a clear, cohesive message across all 3 horizons and, more importantly, has made the investments, the demonstrable investments, across all 3 horizons to be able to serve them. And so I think that where we are winning, it's because we have shown and we can show the domain expertise and all of the other capabilities required to execute across the 3 horizons for clients.
Joseph Foresi - Janney Montgomery Scott LLC: Just on a follow-up on that, why do you think you're seeing the multinationals more on the deals? Is that because you're competing for a different type of work? I know you cited the 3 horizons. Why are they showing up more? Why are they more your competition?
Francisco D'Souza: I think it goes back to the range of services, again. I think it goes back to the 3-horizon model and the fact that we have built out these -- the kind of capabilities to execute across all 3 horizons. And traditionally, that's where the multinationals have strength. So I think that we tend to see them more. I view us, as we expand the pie that we're capable of competing on, we're bumping into the multinationals more frequently.
Devina Mehra - First Global Stockbroking (P) Ltd.: Okay. I'm going to squeeze one last one in here. In Europe, how much of the work that you're doing in Europe is based for domestic multinationals? And how much is it versus local?
Gordon Coburn: I don't have it offhand, but the clear majority, significant majority would be European-based companies, including some European-based multinationals.
Operator: Your next question comes from Ashwin Shirvaikar of Citi.
David Nelson: And operator, this will be the last question.
Ashwin Shirvaikar - Citigroup Inc: My question is, given the continued strength in Europe, Frank, I wanted to ask you about the Europe strategy going forward. Obviously, you have more of a partnership approach in places like Germany, Netherlands, a couple of acquisitions, maybe France, direct approach elsewhere. What should we expect going forward in terms of the nature of Cognizant's investments in Europe? And how are you going to approach Europe?
Francisco D'Souza: Thanks, Ashwin. Let me just talk a little bit [indiscernible] I would characterize what we're seeing in Europe right now as stability perhaps more than the strength as you characterized it. And I expect that over the rest of this year, it will be sort of in line with the rest of the company. But more broadly -- look, we're very pleased with our progress in Europe over the last few years. I think that our strategy of being local across the markets in Europe has played out very well. We continue to deepen that local presence through things like local recruiting, and then Gordon said a minute ago now starting a campus recruiting program in Europe, which I think will further deepen our localization across the markets of the continent. As we look at Europe, we said in the past that we feel good about our footprint now in the continent. We still have a little bit of work to do in some of the smaller countries around Europe to build out, but in general, we feel good about our footprint. Having said that, I do think that we'll continue to look selectively at tuck-in acquisitions across the continent as a way to deepen our local penetration. Really, success in Europe as we start to bring a broader and broader range of services into the countries of Europe is going to require us to have ever-increasingly stronger local presence in front end, what we call the front-end capability. And so in some cases, we may look to augment that as we did with Galileo in France, through selective acquisitions. Either focus on the country, focus on a particular service line or both. So we continue to look at those acquisitions actively, and where it makes sense, I think you will see us do those.
Glenn Greene - Oppenheimer & Co. Inc.: Okay, and then, Gordon, on the utilization number, should we expect the offshore ones to go up as revenue mix changes? What should be an appropriate number going forward?
Gordon Coburn: It might go up a little bit. I don't expect any dramatic changes.
Francisco D'Souza: Let me just wrap up, folks. Thank you all for joining us, and let me just say that in summary, we're very pleased with our performance thus far in 2011 and excited about our outlook for the future. We're capitalizing on our clients' needs for a long-term partner, committed to bringing them the domain knowledge, advisory expertise and robust services portfolio that they require in the current economic environment. And we're confident that our market leadership will enable us to continue to enjoy strong demand for our ever-expanding array of offerings. Thank you again for joining us, and we look forward to speaking with you again next quarter.
Operator: And ladies and gentlemen, that concludes the Cognizant Second Quarter 2011 Earnings Conference Call. We appreciate your time. You may now disconnect.